Operator: Good morning, ladies and gentlemen. Welcome to Exchange Income Corporation’s Conference Call to discuss financial results for the Three-Month Period and Full-Year Ended December 31, 2017. The corporation’s results, including MD&A and financial statements were issued on February 21 and are currently available via the company’s website or SEDAR. Before the call is turned over to management, listeners are cautioned that today’s presentation and the responses to questions may contain forward-looking statements within the meaning of Safe Harbor provisions of Canadian Provincial Securities Laws. Forward-looking statements involve risks and uncertainties and undue reliance should not be placed on such statements. Certain material factors or assumptions are applied in making forward-looking statements and actual results may differ materially from those expressed or implied in such statements. For additional information about factors that may cause actual results to differ materially from expectations and about material factors or assumptions applied in making forward-looking statements, please consult the MD&A for this quarter, the Risk Factors section of the annual information form, and Exchange’s other filings with the Canadian securities regulators. Except as required by Canadian Securities Law, Exchange does not undertake to update any forward-looking statements. Such statements speak only as of the date made. Listeners are also reminded that today’s call is being recorded and broadcast live via the Internet for the benefit of individual shareholders, analysts and other interested parties. I would now like to turn the meeting over to the CEO of Exchange Income Corporation, Mike Pyle. Please go ahead, Mr. Pyle.
Michael Pyle: Thank you, operator. Good morning, everyone. Also with me are Carmele Peter, EIC’s President, Tammy Schock, our CFO, who will review our financial results in greater detail in a few moments; and Dave White our VP of Aviation. We’re very happy to be with you this morning to discuss the results for the fourth quarter of 2017 and for the year as a whole. 2017 was a very unique year for EIC, which combined the best operating results in our history with considerable market turmoil for our stock price. This turmoil was in large part driven by a short and distorted tact intended to drive down the value of our stock through a campaign of mistruths. While this campaign undoubtedly cause stress for our shareholders, our Board and our employees. I join you this morning with the best antidote to this misinformation campaign, strong results, and not just for the quarter or for the year, but for our 14-year history, and let me tell you the future looks even better. Let’s start with our fourth quarter. We hit new highs on virtually every performance indicator for the fourth quarter operations. Revenue was $264 million, up 19%; EBITDA was $63.3 million, up 23%; earnings were 16.9% – $16.9 million, I’m sorry, up 22%; earnings per share were $0.55, up 15%; adjusted earnings per share were $0.72, up 24%; our payout ratio on our free cash flow less maintenance CapEx basis fell to 58%; and payout ratio was based on adjusted debt earnings fell to 73%. The full-year results for 2017 year are also very positive. So I will leave those to Tammy in her remarks. In short, 2017 was simply the best in our history. And when I say that, most people think that I’m going to be talking just of our financial results. And of course, financial performance is a key indicator of how a company is doing. So the valuing performance is much more than financial results. It’s relatively easy to make decisions that maximize your short-term performance, but often this kind of thought process will hurt the company in the long run. At EIC, we pride ourselves on making decisions for the long run. Quite often, the payoff on a good decision is not evident until well into the future. In 2017, we continue to invest in our company. We invested in maintenance capital projects to preserve and upgrade our company’s assets. We invested in growth capital in our subsidiaries to enable them to take our people – to enable them to take advantage of opportunities in their markets. We vested in our people adding depth and new talent to help us grow the company into the future. We invested in acquisitions, both before the year-end and after it to increase our footprint and create new cash flow streams. And we invested in our customers by entering into an extending partnership agreements with First Nations across Canada. Both simply put, we invested in the future. There are lots of examples of the benefits of these decisions. But I would like to focus on a couple of them to provide you with the flavor of the non-financial returns these investments have generated. You will recall last year at this time, that our Manitoba Airline operations have gone through a challenging Christmas and New Year season. A combination of challenging weather, a shortage of equipment and poor maintenance timing decisions on our part resulted in service that was at a level that was simply unacceptable. We committed to make the changes necessary to ensure this would not recur again, and we took a very direct and specific actions to make this a reality. Firstly, we added capacity with the purchase of two Dash 8 aircraft. Secondly, we moved the majority of our overhauls into the slower part of the year at the beginning of the year, while renting capacity just in case. Finally, we brought in sister aircraft when necessary. I’m pleased to tell you that we not only met that promise, we surpassed it. This Christmas season, we’re well-positioned not to repeat the challenges in 2016. The result was one of the smoothest and busiest holiday seasons on record. The financial impact is clear and the service impact is even more evident. The decision to internalize our overhauls and compress them into the first part of the year enabled us to have the access to our full fleet when we needed it most, not only at Christmas, as I described before, but this was also a very evident in the late summer when an extreme fire season required via evacuation of thousands of people in four or both First Nations communities. EIC together with other third-party airlines and the Canadian Air Force, we’re able to get the people to safety, and then when appropriate, it was EIC that transported the lion’s share of these people back to their homes. 2017 results was an exceptional year for Regional One. We have continued to invest in the company since its purchase in 2013 and the result is showing. EBITDA in the company was denominated in Canadian dollars was in excess of C$110 million over six times the level it was when we purchased it off of in 2013. We continue to benefit from investments made in prior periods of Regional One. While the rate of expansion is certainly expected to slow, it is also expected to remain a growth engine for EIC. Keewatin now began servicing Kitikmeot, the third and final region of Nunavut. Keewatin has long held contracts with Baffin and Kivalliq regions. And with the addition of Kitikmeot, we now service the entire territory. This will add flexibility and better service to our customers, as we can move capacity from region to region in times of high demand without having to rely on third-party carriers to assist. We began trying under this contract in December, so the impact in our 2017 financial results is quite small. The Force Multiplier made its world debut at the Dubai Air Show in November, and then they had a brief appearance at our inaugural Shareholder Day in Winnipeg shortly thereafter. This government will – this aircraft will provide governments around the world access to a rapid deployment, fully staffed search or surveillance aircraft. At the show, we had strong interest from many countries. The aircraft is currently in its final certification process and is expected to go into service mid-year. Provincial completed the Air Borealis partnership with the Innu and Inuit of Labrador in the second quarter. This partnership enabled to expand their relationship with the First Nations and Labrador and expanded the number of communities that we service.
.: We repurchased Quest. We explained that it had an order book of over $200 billion and that order book has continued to grow and now exceeds $1.25 billion. In order to take advantage of our opportunities in our pipeline and to enter into new geographies, where we have little or no presence today, I’m very pleased to announce to you that we’ll be opening our manufacturing facility in early 2019 in the United States. We will announce more details in coming periods, but expect the plan to double our current capacity. It will be built in the Southern USA near to our markets and closer to suppliers of glass, aluminum and necessary human resources. It was expected, this facility will have a cost of C$15 million to C$20 million Canadian. Quest contributed almost $3 million of EBITDA in the last half of Q4 2017. And we look forward to ramping up its production to increase its contribution of the future. I want to be clear, however, that the increase in production is to enable the company to grow beyond its current backlog and take advantage of opportunities for future growth. It is not required for our existing order backlog. Earlier in the first quarter, we announced we are making investment of $25 million into Wasaya Airways. $12 billion of the investment will be made in the form of EIC shares, which will be held by the First Nation owners of the Airline. The balance will be in the form of a loan to refinance existing lenders and provide enhanced liquidity. The transaction is expected to close during the first quarter. It will increase EIC’s exposure in the Northwest Ontario market and will allow us to partner with the First Nation shareholders of Wasaya. Earlier today, we announced an agreement to acquire Moncton Flight College, Canada’s largest flight training facility for initial payment of $35 million, or $6 million of this being funded in the EIC stock and the balance in cash. This purchase price can rise to $55 million, if the company hit certain growth targets after the deal is closed. The transaction is expected to close in the next 30 days. We are very excited about this acquisition. As with all of our acquisitions, it is immediately accretive to EIC on a per share basis based on the targets historical results. Should the company hit the earn-out targets, the level of accretiveness [ph] will increase significantly. The multiple paid for the subsequent growth is far lower than that paid for the initial deal. While Moncton is an accretive transaction with a strong growth profile, the deal price more provides far more than just at accretive investment. Moncton will enable us to vertically integrate our pilot sourcing and training. It is common knowledge that there is currently a worldwide shortage of pilots. And this situation is expected to worsen, as new aircraft come online over the the next five years. The situation in Canada is expected to be even more severe, as transport cabin is expected to shorten pilot duty days to combat pilot fatigue. The acquisition of Moncton is a key piece of our strategy to thrive in a world, where pilots may be at a pre-lease. Before I hand things off to Tammy to go over our financial – our quarterly and annual results in greater detail, I’m also happy to relent that as a result of our continued strong performance, the accretive acquisitions of Quest, Moncton and our investment in Wasaya and reductions in our future tax costs, our 13 – we will – I announce our 13th increase in dividends. Effective with our March payment, our dividend will increase 4.3% to $0.1825 per month, or $2.19 per annum. I will go into greater detail about the outlook after Tammy speaks the results in greater detail. But I’m pleased to tell you that even with this increase in our dividends, we expect our payout ratio to fall in 2018. Tammy?
Tamara Schock: Thanks, Mike, and good morning, everyone. I’ll first focused my results on our – my marks on our Q4 results, and then I’ll turn to the results for the entire 2017 year. Consolidated revenue for the fourth quarter was $263.9 million, which is up 19% from the fourth quarter last year. The increase reflects significant organic growth in the Aerospace and Aviation segment, as well as growth in our Manufacturing segment, both organically and as a result of the acquisition of Quest on November 14, 2017. On a segmented basis, the Aerospace and Aviation segment generated $200.5 million in revenue, an increase of $26.6 million, or 15%. Regional One’s revenue increased by 36%. This reflects the realization of returns on our previous investments in the lease portfolio and in part for resale. These investments are performing very well and we expect further growth as the portfolio of least assets continues to move towards full deployment. Other sources of organic growth in the Aerospace and Aviation segment include: increased volumes in the Manitoba and Kivalliq markets that are served by our legacy airlines, the commencement of Kitikmeot medevac contract, and targeted growth in North Western Ontario. Volumes in Provincials Airline business have increased and this reflects the benefit of our partnership in Air Borealis. Provincials Aerospace business had a decline in revenue due to the impact of the completion of one program and the shift of some others into future periods. Manufacturing had revenue of $63.4 million, up 33% from last year. This significant increase reflects the addition of Quest on November 14, 2017, and also contributing to this increases the collective strong growth in all of our other manufacturing entities with the exception of WesTower. Business volumes in our Alberta operations have continued on an upward trajectory, as conditions in Alberta continue to improve. Those business volumes are not yet back to their historical level. However, the improvement has been very steady from one quarter to the next throughout 2017. Stainless had strong demand in both its field and shop operations and Ben Machine has benefited from strong demand in the defense sector. WesTower’s revenue has decreased. This is due to a downturn in demand for its traditional services. The downturn has been driven by the delay between the implementation of new and existing technologies and is deeper and more prolonged than we have experienced in the past. Consolidating EBITDA was $63.3 million in the fourth quarter, up 3% from quarter four last year. The growth was driven largely by the Aerospace and Aviation segment, however, the Manufacturing segment had significant growth as well. EBITDA in our Aerospace and Aviation segment was $62.5 million, which is up 29% from last year. Regional One was a major contributor to this growth. Regional One’s EBITDA grew by 42% over the fourth quarter in 2016. EBITDA flowing from our Legacy Airlines increased by 40% in compared to Q – in comparison to Q4 2016. This was driven by growth in business volumes that I discussed in relation to revenue and it was also driven by favorable operating conditions experienced in the fourth quarter, as well as more efficient operations. We had a quicker freeze up this year, notably reduced fog-related cancellations. Provincial’s partnership in Air Borealis has resulted in improved yields in its airlines, evidencing the value of this partnership. Costs in our Aviation businesses have been impacted by increased fuel prices and by the pilot turnover that is being experienced across the industry. Demand for pilots is fully expected to continue to rise, so we are very optimistic about the positive impact that we expect from our acquisition of Moncton Flight College. This acquisition positions us very well to mitigate the impact of the rising demand for pilots. In the Manufacturing segment, EBITDA grew by 30% to $8.1 million. The acquisition of Quest drove $2.9 million of that increase. I will note that the contribution from Quest for the fourth quarter of 2017 is ahead of our expectations. EBITDA from Stainless, Alberta Operations and Machine and Overlanders grew by 17%. Consistent with my comments in relation to revenue, WesTower’s EBITDA has declined as around – as a result of the downturn that they are experiencing. I will point out that relative to the prior year, EBITDA was negatively impacted by the translation of our foreign subsidiaries into Canadian dollars. Had we used exchange rates that were consistent with the fourth quarter in the prior year, EBITDA would have been $1.6 million higher. Our Canadian subsidiaries also have exposure to the U.S. dollar. However, because there are a variety of U.S. dollar inflows and outflows, such as costs associated with aircraft parts and the U.S. dollar revenue contracts that certain subsidiaries have. The net exposure in relation to our Canadian subsidiaries is not typically large. So the decline that I noted earlier is flowing from the translation of the results of Regional One and Stainless. We reported net earnings of $16.9 million, or $0.55 per share, and that compares to net earnings of $13.8 million, or $0.48 per share in Q4 2016. Earnings per share reflects an increase of 8% in the average shares outstanding in the quarter. The improvement was driven by factors already cited, including the strong performances by Regional One, the Legacy Airlines and our Manufacturing segment. The most significant reasons for the increase in the average number of shares outstanding was the offering of the common shares that we completed in the first quarter of 2017. On an adjusted basis, net earnings were $22.3 million, or $0.72 per share for Q4 2017. That compares to $16.6 million, or $0.58 per share for the comparative period. Adjusted net earnings exclude the acquisition costs relating to the acquisition of Quest in November and also excluded the amortization of intangibles and accelerated non-cash accretion of interest on the debentures that were called early – were called in December for early redemption in January, and those amounts are net of taxes. Free cash flow was $49.7 million, up 22%. Free cash flow on a per share basis was $1.61, up from $1.42 per share last year. Free cash flow less maintenance CapEx was $27.7 million, or $0.90 a share. That compares to $22.8 million, or $0.80 a share for last year. We use both an adjusted earnings-based payout ratio and the free cash flow less maintenance CapEx-based payout ratio to make decisions regarding our dividends. Our payout ratio for the fourth quarter on an adjusted earnings basis was 73%, a decrease from 89% in the fourth quarter last year. Our free cash flow less maintenance CapEx payout ratio was 58%, a decrease from 65% last year. The improvements in both of these ratios reflect our strong results, which more than offset the impact of a higher average number of shares outstanding. I’ll turn now to a discussion of our annual results. Consolidated revenue for 2017 was approximately $1 billion, an increase of $122 million over 2016. Revenue in our Aerospace and Aviation segment increased to $105.2 million, or 15%, and revenue in our Manufacturing segment increased $16.7 million, or 9%. Consolidated EBITDA increased by 17% to $248.7 million. EBITDA in our Aerospace and Aviation segment increased by $43.7 million, or 21% to $247.9 million. The previous investments made in Regional One’s business resulted in a significant increase in its revenue and are driving significant increases in EBITDA as well. Likewise, growth in revenue in our Legacy Airlines is driving an EBITDA increase fall down. Previous investments in the Northern cargo operations have led to operational efficiencies that have positively impacted EBITDA. The partnership in Air Borealis has also had a positive impact on Provincial rebate. EBITDA in our Manufacturing segment decreased slightly by less than $1 million to $23.1 million. This is the net of the positive result of the addition of Quest in the fourth quarter and a significant year-over-year decline in WesTower’s EBITDA, as well as a strong year-over-year growth in all of the other entities in the Manufacturing segment. WesTower’s financial results have had – have a large impact on the overall results of the Manufacturing segment because of its size relative to the other entities in the segment. The addition of Quest has significantly increased the level of diversification in our Manufacturing segment. The Canadian dollar has been much stronger on average in 2017 than it was in 2016, and the negative impact of that on the translational of the EBITDA of our U.S. subsidiaries for the year is approximately $2.5 million. We reported net earnings for the year of $72.2 million, or $2.33 per share, and that compares to net earnings of $61.5 million, or $2.18 per share in 2016. The increase was driven by the increase in EBITDA and the gain on disposal of our interest in Innu Mikun, which was part of the Air Borealis transaction. Depreciation increased by $26.2 million, as a result of capital asset purchases made throughout 2016 and 2017. Our investments in capital assets during those years have fueled our organic growth. Income tax expense decreased by $2.4 million and the effective rate of tax also decreased. We have had a shift in earnings between tax jurisdictions during the year that positively impacted income tax expense, and we also recorded a recovery of deferred income taxes as a result of revaluing our deferred tax liabilities to reflect a reduction in U.S. tax rate that was passed at the end of 2017. Aside from the reduction in our deferred tax liabilities, which are valued using the reduced rate, the change in the U.S. tax rates did not impact our current taxes during 2017 on U.S.-based earnings. However, the decrease in rates will contribute to a reduction in our overall effective tax rate for 2018. This rate reduction combined with our expectations around the proportion of earnings that will be earned in the various jurisdictions in which we operate results in an expectation that our effective tax rate should be in the 20% to 22% range for 2018. Our per share amounts have been impacted by an increase in the average number of shares outstanding during 2017. The most significant reasons for the increase is the offering of 2.3 million common shares that we completed in the first quarter of 2017, and the conversion of debentures throughout 2016 and 2017. Shares repurchased through our NCIB did partially offset those increases. On an adjusted basis, net earnings were $79.7 million, or $2.58 per share for 2017. That compares to $72.2 million, or $2.56 per share for 2016. Adjusted net earnings exclude acquisition costs relating to the acquisition of Quest, as well as the acquisitions of CarteNav and [indiscernible] in 2016, and the amortization of intangible are also excluded. Also excluded from adjusted net earnings is the after-tax gain recorded on the disposal of our interest in Innu Mikun and the acceleration of non-cash interest accretion relating to the debentures that were called in December. With the acquisition of Quest, an estimated $38 million of intangible assets were recorded in the preliminary purchase equation. This will generate additional amortization expenses in the future. In particular, Quest has significant backlog for which an intangible asset has been estimated, and this backlog will amortize over a relatively short period of time. The other acquisitions that we have now have announced are also likely to have intangibles that require amortization. However, those purchase equations have not yet been estimated. The company’s capital resources and leverage are strong. During 2017, we completed an equity offering, resulting in proceeds of $93 million. We increased our credit facility by approximately $200 million, and we extended its maturity to 2021. We also issued $100 million of convertible debentures bearing interest at 5.25% due in 2022. The proceeds of that offering were used to redeem $57 million in 5.5% convertible debentures that were due in 2019. Our leverage remains solidly within our target range and well beneath the maximums of our credit facility. Free cash flow was $91.1 million, up 16%. Free cash flow on a per share basis was $6.17, up from $5.83 last year. Free cash flow less maintenance CapEx was $91.1 million, or $2.97 per share. These compared to $91.6 million, or $3.25 per share last year. This reflects a significant increase in free cash flow, which was driven by the 17% increase in EBITDA and it also reflects an increase in maintenance CapEx. The decrease in the per share amounts reported is driven by the increase in the average shares outstanding for the year that I discussed a few moments ago. Our payout ratio for 2017 on an adjusted earnings basis was 81%, a slight increase from 78% last year. Our free cash flow less maintenance CapEx payout ratio was 71% versus 61% in 2016. These ratios reflect our strong earnings and free cash flows, however, they also reflect the higher number of our shares outstanding in 2017, as well as higher than average aircraft maintenance costs. Investments in the maintenance of capital assets, primarily aircraft-related assets increased by $26.5 million in 2017 to $99.2 million. $33 million of the total is related to the depreciation on Regional One portfolio of aircraft and engines, which is $13.2 million higher than the prior year because of the growth in the size of its portfolio. The Legacy Airlines and Provincial had $63.2 million in maintenance capital expenditures, and that’s an increase over the prior year and is related to the increase in the number of overhauls for our large gauge aircraft and an increase in the size of that fleet. Regional One invested $49.9 million in capital assets for growth during 2017 and those expenditures primarily related to the purchase of five CRJ 900s in the first-half of the year. Our Legacy Airlines and Provincial invested $77 million in capital assets to grow their businesses during 2017. This includes the investment by Provincial and its demonstrator surveillance aircraft and two Beech 1900 aircraft that were purchased to service new route. Investments in new aircraft and ground infrastructure to support the new Kitikmeot at medevac contract were also made. Custom purchased two helicopters support their – to support their expansion into new geographies and service lines. Additionally, two Dash A300 aircraft were purchased for the expansion into Northwestern Ontario. Turning now to our balance sheet. We ended the year with a net cash position of $72.3 million and working capital of $240 million. This represents current ratio of 1.91 to 1 and compares to a net cash position of $26.5 million last year working capital of $178.5 million and a current ratio of 2.05 to 1 at the end of 2016. The increase in our cash position at December 31, 2017 is entirely related to the impending direct redemption of our 20 – 12 series of debentures. That redemption occurred early in January of 2018 for approximately $57 million. The increase in our working capital at December 31, 2017 in comparison to 2016 and in comparison to the $200 million that we reported at the end of the third quarter is primarily related to the acquisition of Quest. That increased our working capital by approximately $23 million. Also contributing to the increase with further investments in inventory at Regional One, both through direct purchasing and through the part out of aircraft. A change of approximately $8 million in our income taxes receivable position, which was driven – also occurred, which was driven primarily by shift in task plannings between a number of our legal entities. Adjusting for the additional receivables acquired with Quest, our consolidated receivable positions have decreased as the longer-term receivables from the sale of aircraft by Regional One was collected during the fourth quarter as scheduled. That concludes my comments on our financial results. And I’ll turn the call back to Mike for his closing remarks.
Michael Pyle: Thank you, Tammy. We’re very proud of what’s been accomplished at EIC over the last 14 years, where we have taken the idea of a diversified holding company paying stable, growing dividends to its shareholders from theory to reality. We’ve been remarkably consistent in espousing what our business model is and then executing on that model. This model has delivered long-term results to – long-term returns, I’m sorry, to our shareholders and we see no reason to change. And in fact, quite the opposite, our enthusiasm for the strategy is only growing. In the past, we’ve been resident to provide much in the way of forward-looking information, and believe that this may have contributed to the fear factor utilized by the short and distorted campaign. Following the first quarter of 2017, when there was some surprise about the magnitude of investment in maintenance capital expenditures, in spite of the fact that the number was in line with our internal budget. And made it clear that we needed to provide some forward-looking information to the market. We’re very excited about 2018. The recent acquisitions of Quest and Moncton and our investment in Wasaya will increase our growth rates. We’ll augment initiatives within our existing operations. I think, it’s important to point out, while we expect to see strong performance from Quest, the new manufacturing facility will not be operation until – operational until 2019. And as such, we’re limited by the capacity of the Canadian plant in 2018. We do not expect growth from Moncton as well. We do expect growth from Moncton as well, but it’s expected to take until the end of 2019 for the vendors to fully achieve the growth necessary to take advantage of their earn-out. The Force Multiplier search aircraft will also go into service later this year, while the initial response to it is far exceeded our internal expectations. It will not begin to generate revenue until the second-half of the year, how quickly we can monetize its operation is yet to be determined. We expect continued operational improvement in our airline operations based on the investments we have already made. When the investment in Wasaya is complete, we will see growth in revenue from Northwestern Ontario. When the interconnectivity of the schedules has been optimized and maximized our customer service and cost rationalization is completed, margins in the region should improve. We expect the financial performance of the balance for our manufacturing portfolio, excluding WesTower – as well as excluded WesTower, we have an aggregate level of order backlog. I’m really having trouble this morning. Our record level of our aggregate order backlog and initiatives at WesTower should allow operations to improve from the 2017 levels, but we expect them to reign well below historical norms until the roll out of the 5G platforms likely in 2019. In aggregate, we expect EBITDA to grow like 10% to 20%, adjusted net earnings on a per share basis are expected to go – grow by a similar percentage range, 10% to 20%. As discussed by Tammy earlier, depending on the breakdown of earnings between the geographic regions we service around the world, we expect our effective tax rate to be between 20% and 22%. Maintenance capital expenditures are expected to be slightly higher than in 2017. While the number of overhauls of large aircraft will certainly decline in 2018, this will be offset by a higher number of engine overhauls and replacements that was incurred in 2017. This modest increase is the result of the two acquisitions and the impact of a full-year of the larger lease fleet at Regional One. We expect seasonal breakdowns of maintenance capitals to be very similar to 2017 with the possible exception of slightly higher levels in the first quarter this year, as many events are scheduled for that period. Growth capital expenditures are expected to decline materially from 2017, while EIC always has, as always will remain opportunistic. Based on our current view of operations, we did not anticipate any large-scale fleet acquisitions similar to the 2016/2017 purchase of CRJ 900 aircraft to Regional One. While this could certainly change, should a suitable opportunity present itself at some point in the future, only modest sequential investment is anticipated. The only major project anticipated is the new factory for Quest in the United States later on this year. Major growth capital will relate to the manufacturing facility for Quest and the completion of the Force Multiplier aircraft for Provincial, as well as some modest fleet additions at Regional One. We expect given the growth in our business, both organically and through acquisitions, stable maintenance capital reinvestment and a lower tax rate as a result of the tax rates in the various jurisdictions we operate in around the world, and the reductions in U.S. statutory rates, as discussed earlier by Tammy. But even after the implementation of our dividend increase, our payout ratio will fall in 2018 from the levels experienced in 2017. The payout ratio will fall whether calculated as a percentage of adjusted net earnings, or as a percentage of free cash flow less maintenance capital expenditures. Situations in the world change rapidly. Exchange rates go up and down. Trade agreements are negotiated and then abandoned. Commodity prices go through cycles. We have lived through all of these events over the last 14 years in EIC and have not only survived, we have thrived. Our dividend has more than doubled. Our stock has gone up by four times. Simply put, our model works. By right, let the people and the knowledge of the industry run the business, provide them the capital they need and make sure your balance sheet remain strong while you do it. We’re proud of what has been accomplished at EIC, not just in the last quarter or the last year, but since our inception. We have clearly spelled out our business model and have lived it for 14 years. It has generated profitable growth and reliable cash return to our shareholders in good times and in difficult ones. The turmoil in the capital market in 2017 was unsettling, but we never wavered from our model. The outcome, the most profitable year in our history and another dividend increase. In the long run, actions and results are all that matter. The outlook for 2018 is strong, and we look forward to speaking to you again soon with these results. I want to thank our shareholders for their support over the last year. We intend to stick to our model. And in the words of late great football coach Dennis Green, we want our shareholders to be able to say, they’re exactly who we thought they were. I’d now like to open the question – the call to questions. Operator?
Operator: Thank you. Ladies and gentlemen, we will now conduct the question-and-answer session. [Operator Instructions] Our first question comes from the line of Steve Hansen from Raymond James. Your line is open.
Steven Hansen:
.:
Michael Pyle: We’re not at a stage, Steve, right, give you any like a real concrete answer to that. We’re in discussions with two or three governments at the current time both in Canada. We’re in discussions in Mexico, as well as other countries, who want to use the plane for different things. I’m very confident, you’re going to see it enter the – our revenues by late in the second quarter and be very active in the second-half of the year, exactly which customers, it’s too early to tell. We’re currently examining based on the demand we have should – whether we should look at building another of these in the future. And if we should, we should have been built of the same Dash 8 platform, or would it be better built on the smaller platform to allow our lower-cost opportunity to customers. Those are all things will give you better clarity on the future, as the plane actually goes into service. But I can tell you, we’re very happy with the level of discussions we have around the world.
Steven Hansen: Great. That’s helpful. And just a quick one on Quest, if I may. The decision to build the new plant seems interesting. Is that something that you presume capacity has been a constraint thus far as you look to build the new facility going forward? Can you give us some sort of sense for what strategic markets you are going to targeting, where the facility might be, if I missed it in your commentary? And just sort of how we should expect the backlog to improve given your announcement here thus far?
Michael Pyle: Yes, that’s a whole bunch of question, Steve. The plant is being built, because we’ve reached a stage now where we have effectively no capacity into 2020. Our current plant is sold out and we don’t like turning away our existing customers when they bring new projects. And quite frankly, the order of book, which we announced when we bought the company was very strong at that point. And at a relatively short time, we’ve owned in less than one quarter that order book has risen materially. And so we see opportunities in the existing markets where we are now. And those would be most of the large Canadian cities with centered in the Toronto market, the Pacific Northwest, Northern California and to a lesser extent in the Northeast in New York and Washington D.C. markets. We see opportunities in a number of metropolitan cities, whether they be Nashville, or Austin or Houston, to name a few. But the order backlog currently is concentrated in the markets we’re in. And as we add capacity, we’ll be able to add our marketing efforts to new geography.
Tamara Schock: We’ve capped at very small part of the U.S. market. We think that there are many regions that we can look to together with expanding our work in the existing regions we are. So we are very excited about this opportunity.
Steven Hansen: Very helpful. Thank you very much.
Michael Pyle: Quite frankly, the need to do it has accelerated. We knew we bought the company, it was something we would look at. But quite frankly, the continued growth of the order book and what’s in the pipeline that we got to find a way to get into the order book has caused us to move more quickly. It’s not a big expense, it’s somewhere in the C$15 million to C$20 million Canadian range to build the plant. It’s likely to be built, although we haven’t settled on an exact answer in the Central and Southern U.S., Coast to other window companies we would have access to supply of glass, aluminum, and skilled workers.
Steven Hansen: That’s great. Thanks, guys.
Operator: Our next question comes from the line of Mona Nazir from Laurentian Bank. Your line is open.
Mona Nazir: Good morning, and thank you for taking my questions.
Michael Pyle: Good morning, Mona.
Mona Nazir: I firstly just wanted to touch on the acquisition of the Moncton Flight College. Could you just speak about how the acquisition was sourced revenue levels if you could historic growth profile? And you also touched on the fact that it vertically integrates operations. What kind of relief does the acquisition provide to the lock-in pilots for your entire aviation operations? Does that keep costs under control and just looking for more clarity there? Thank you.
Michael Pyle: We’re super excited about Moncton Flight College largely, because it’s a big hit on two fronts. First of all, it’s accretive on the base deal, which is based on the EBITDA we announced in the transaction. To get to the earn-out, there’s – it needs to be a material increase in EBITDA in the near-term, which we’re confident the company is in a position to generate. In terms of how we will integrate that, I may be hand that to my people here, whether Carmele or Dave, if you want to take that and how we’re going to use it internally.
Tamara Schock: Yes. So there’s a couple of avenues that we look to. First of all, it’s a pool of pilots that we can tap directly and ensure that they understand the career path that the EIC airlines offer, given the variety of airlines that we do run. There’s a variety of careers that pilots can pursue. Also, it allows us to get hours on pilots that we have in our operations that don’t have enough experience. They need to get actual airtimes in order to gain the experience for them to be a member of our pilot teams. And one of the ways to do that is to actually allow them to gain greater hours by going back to Moncton Flight College and being an instructor, and also expands the capacity of that Moncton Flight College is able to provide more instructors, obviously, the greater capacity that they have for training pilots. So that’s just about two examples of how we might be able to use and tend to use the Flight College to help us deal with the pilot shorter – shortage. And obviously, the – there’s two things about pilots. One is access to them and the other is retaining them. And by giving them a career path by allowing them to gain additional hours are obviously key aspects to getting them to stay longer with us and in many cases more permanently with us. It allow us to take individuals that perhaps are more likely to stay with us, whether that’s individuals that are currently resident of the regions that we do service allowing them to have the opportunity to go and get the training to become a pilot and thereby work with us back in the communities where they come from.
Mona Nazir: That was very helpful. Thank you. And just secondly, I wanted to turn to growth CapEx and we’ve seen the level of kind of trend down from the first-half of the year and last year. And you spoke, Mike, to expectedly lower levels in 2018. I’m just trying to get a sense of the level of growth that R1 is able or Regional One is able to achieve with the lower growth CapEx. Now you did just give guidance for EBITDA of 10% to 20% growth next year. Just given the significant portion of R1 in the mix, do you – is that kind of double-digit growth something that we could see out of that division?
Michael Pyle: Yes, it would be at the lower-end of that range, but yes.
Mona Nazir: Okay.
Michael Pyle: We’re not saying that we won’t invest in Regional One, again, it’s gain. One of the things that I think at EIC, we could have done a better job of preparing the market for its deals like we did in 2017 and 2017 on the CRJ 900s, or what we did in 20104 on the CRJ 700s. Those kinds and size of opportunity aren’t an everyday occurrence. And they have to hit our threshold. So there are unique opportunity. We don’t see those on the horizon in the near-term. So we will continue to grow, but we will continue to grow one plane at a time or two planes in a time smaller more bite-sized pieces and understand, we have to invest the maintenance CapEx there, I think, is $30 million a year. So we’ve got to find $30 million worth of deals just to stay in the same place.
Mona Nazir: Okay.
Michael Pyle: And so we intend to continue to grow. I just wanted to be clear in here that fact that we’ve grown over six-fold in five years. That level of growth is not anticipated.
Tamara Schock: I think it’s also worth noting that we grew significantly during 2017 and it’s not – it wasn’t fully deployed during the year. But we still have some additional monetization that will still come from past investments.
Mona Nazir: Thank you for that.
Operator: Our next question comes from the line of David Tyerman from Cormark Securities. Your line is open.
David Tyerman: Yes. Good morning. My first question is on working capital. So you’ve been using quite a bit, especially in 2017, but also the two preceding years. And I think some of it maybe you can help clarify this is related to Quest on your financial statements. But I’m just wondering in general, like you do seem to be using working cap fairly continuously. What we should be thinking about in terms of working cap going forward like are you going to $20 million, $30 million per year, or the last few years being a bit unusual affects?
Michael Pyle: We – I think the answer is that the last couple of years have been unique because of certain growth things we’ve done. If you take a look at the last quarter, where it was up $40 million sequentially over the quarter before. But round numbers $25 million of that was the result of an acquisition. So, real growth apples-to-apples was $15 million and out of that half of that was normally because of effective tax over pavement, which will reverse itself very quickly. And so that leaves a net change of mid single-digits was really just resulted to the timing of a part of the aircraft at Regional One. We don’t see any material usages of working capital absent in acquisition or a change in our business. There would obviously be in 2019 sometime when we ramp up the plant at Quest. The second plant that will require an investment in working capital, because we’ll be doubling the size of the business.
David Tyerman: Yes.
Michael Pyle: But you won’t see that this year that would be ramping through 2019 somewhere.
David Tyerman: Okay that’s helpful, thanks Mike. And then the second question I had is on the Moncton Flight College, can you give us some idea of what depreciation would be at operation?
Michael Pyle: Look, I’ll talk generally and then let Tammy close out. The depreciation number is modest we were just working on the purchase equation and there will be a material amount of amortization of intangible assets. Tammy if you got something?
Tamara Schock: Yes, we – our around estimated that depreciation at Moncton Flight College would be around $3 million a year and intangible assets should be around $5 million to $6 million somewhere. We’re still settling that those purchase equations, but round order of magnitude would be…
David Tyerman: Sure.
Tamara Schock: That’s…
David Tyerman: Okay. So sorry the intangible $ 5 million to $6 million is that the total that will be amortized over years or for the year?
Tamara Schock: It is per year.
Michael Pyle: That’s per year over for four or five years.
Tamara Schock: Yes.
David Tyerman: Okay. And then just on the earn-out what’s the main driver there is it sales growth, or margin improvement, or what do they need to do to get to their target?
Michael Pyle: It’s measured in EBITDA, but it’s effectively sales growth.
David Tyerman: Yes.
Michael Pyle: Like it’s – and unlike some earn-outs, which have a high multiple of the increase in earnings. This is really almost a profit sharing kind of concept for the increased earnings flow through the vendors for a short period of time. And so, we would be ecstatic to pay them full $55 million.
David Tyerman: And what’s your thought on that Mike is like that sounds like a lot of growth, but maybe I’m wrong there? Is it likely.
Michael Pyle: Yes, it is yes whether they hit exact number is impossible for me to tell, but we strongly believe that there will be material growth off of what – first of all what last year was we know this year should be above last year’s number. And then further growth into 2019. And so, it will be phased it’s not going to happen all in the next period, but I think actually in 2019. The company will be materially larger than the company we bought.
David Tyerman: Okay. That’s super thanks very much.
Operator: Our next question comes from the line of Konark Gupta from Macquarie. Your line is open.
Konark Gupta: Thank you, and good morning great quarter guys. Had a few questions. Mike just wanted to start with West Tower first. West Tower Canada EBITDA seems to be down for like three years I think in a row. And the cellular tower construction market doesn’t seem to be recovering here. So, what measures are you taking to turn around EBITDA and could strategic outcome be an alternative there?
Michael Pyle: I would disagree a little bit on how long it’s been challenged for, it’s really been 2017 issue. But your question on a go forward basis is very relevant. We’ve worked at expanding the tertiary things we do other than just building towers. So, whether it be reinforcing hanging new equipment decommissioning towers, working on corrosion testing, working on some laying of cable on behalf of the companies or even building the actual level for the towers for other companies. And as a result, I’m confident we’ll see a rebound in this business, but in round numbers it’s been $8 million or $9 million EBITDA business in the past. In the current year it was essentially a breakeven we’ll see that rebound next year, but it’s going to take us probably into late 2019, early 2020 to where we expect to see historical levels of EBITDA in our business. But having said that the smaller strategic changes right sizing of our team and those kinds of things will see a return to profitability in the current year.
Konark Gupta: Okay and that’s great Mike. And then on the long-term just wanted to follow-up, so the $20 million earn-out math suggests you are kind of expecting 60% of EBITDA growth. Keeping the multiple same. And you said the Moncton would be even more accretive with earn-out. So, are you expecting like a solid double-digit growth here for the earn-out. And is that also reflecting some sort of synergies you expect?
Michael Pyle: The synergies aren’t in the financially there is a strategically about helping our airlines in a time of a shortage of pilots by having permitted be able to go select candidates to go in there and train up knowing they’re going to go to parameter or knowing they’re going to go and be a man of that pilot [indiscernible] whatever the case may be. So, that’s clearly part of our plan, but that’s not in those numbers. And I need to make sure, I think either I miss smoke or you misunderstood a little bit, the multiple on the original transaction we gave you is $4.75. The multiple on the earn-out is much lower than that. For them to get that extra $30 million, they don’t have to generate four times $30 million it’s a lot closer to just generating the $30 million. Are you with me, do you understand what I have said.
Operator: Our next question comes from the line of Derek Spronck from RBC Capital Markets. Your line is open.
Derek Spronck: Okay good morning Mike and Tamara. It sounds like a lot of positive things occurring across your portfolio, you did mention a couple headwinds or potential headwinds, higher fuel prices, pilot turnover, anticipated new regulation around pilot fatigue and flight duty times. Can you quantify some of those potential impacts to EBITDA?
Michael Pyle: Yes, and the short answer Derek it’s no. Because if we take them on one-on-one. The fuel impact we could pass through Tammy is going to take that one. The pilot one is turn over really isn’t expected to change much from the current level. The cost of these hands training are buried in our financial statements already. What we will see is once we have our Moncton Flight College acquisition completed and start flowing through pilots. To the business of our costs will go down. They’re not going to mitigate how much they’re going to go up. They are already fully reflected Derek. We wanted to be able to be in front of the curve where the big airlines always solve their problems by taking the pilots from the smaller airlines. Well, we are competitors whether they be the regional carriers in other places like in [indiscernible] before we partnered with them or companies like that don’t have access to the kind of transaction we just completed. So, by giving ourselves a channel of new pilots. We believe that in the future we’re going to actually reduce our costs as opposed to have an increase in those costs in the near-term Tammy maybe I will let you add fuel.
Tamara Schock: Sure, so changes in fuel prices impact our aviation entities in different ways depending on the geographies. And the nature of the flying that they’re doing. So certain of our entities experience a fairly immediate impact on fuel costs. Went on fuel price increases for those entities during 2017 fuel – pure fuel costs rose by about 10% in certain parts of their business. The impact of this was highly mitigated in EBITDA as they were able to adjust ticket prices to absorb that. Certain of our entries are not impacted at all by fuel prices, because the cost flow through to the customer in those contractual relationships. And then lastly, in certain geographies such as the High North the impact of fuel price changes is not immediate, because prices are changed only periodically in those regions. In those geographies, we experienced an overall small increase in fuel costs during 2017, probably somewhere between 1% and 2%. So there was some fuel price volatility during 2017. The impact of that on our EBITDA was quite muted, to be honest. And it’s hard to say what fuel is going to do in 2018, but we would likely see our business respond in a certain – in a similar manner.
Derek Spronck: Okay. Yes, that makes sense. Just quickly you mentioned maintenance CapEx will be slightly higher in 2017 – in 2018 relative to 2017. Is that a good run rate maintenance CapEx we should be kind of anticipating going forward?
Michael Pyle: That’s a really good question, Derek. And your conclusion is about right, but [I got one revisal on it] [ph] In our Legacy Airlines, we had a big year last year on their front. We have a big year this year on engines. We anticipate that in the fall when you’re in 2020 – 2019, you’ll see a slight decline in Legacy to a more average amount of both of those. But having said that, we have grown the business over that period of time, which may fill in those savings. So we’ve added the Moncton Flight College school. We’ve added our interest in Wasaya. We’ve added Quest and we’re growing Quest. So I think, if you look at it at the current rate, it’s probably reasonable. Although the makeup of that in future periods may change a bit. You may see a slight decline in the aviation part of the business and a slight growth in the other part of the business.
Derek Spronck: Yes. Okay, gotcha. But that helps. And then just finally, quickly, you’re relatively active in the [indiscernible] last year about $26 million at around $33 per share. You have lots of internal investment initiatives that you’re looking at for 2018. Are you still comfortable with your capacity to selectively into the market on your NCIB in 2018?
Michael Pyle: The short answer to that is absolutely
Derek Spronck: Okay. Okay, thanks.
Michael Pyle: We – just to be clear, Chris, one of the things, Derek, I want to be is, we don’t buy back stock as a strategy to soak up available capital. We buy back stock with the stock trades at a price that’s an anomaly to its inherent value. And I can generate a better return by buying my stock. So when the stock price normalizes and the fear actions to marketplace and where people take a look at the fact that we’ve crushed every performance indicator in the last nine months. We’ve increased our dividend. We’re talked about declining payout ratios in the future. I think the need for the buy back will decline. But having said that, Tammy sitting there with her checkbook every day that it needs to be used on.
Derek Spronck: Okay. Thanks, Mike. Thanks, Tamara.
Operator: Our next question comes from the line of Raveel Afzaal from Canaccord Genuity. Your line is open.
Raveel Afzaal: Good morning, guys. [Multiple Speakers]
Michael Pyle: Good morning, Raveel.
Raveel Afzaal: Just a couple of questions on the guidance. Thank you for providing that view on the fuel price headwind. What FX assumptions are you using for U.S. Canadian dollar in your guidance, if you can speak to that?
Tamara Schock: Yes.
Michael Pyle: C$0.80 Canadian dollars.
Tamara Schock: Pretty much prevailing rates.
Michael Pyle: Yes.
Raveel Afzaal: Perfect.
Tamara Schock: You’re not trying to guess that.
Raveel Afzaal: And then are you [Multiple Speakers]
Michael Pyle: …whatever I – two things I’m not allowed to do in here are gas fuel prices, that is three currency things for interest rates, so…
Raveel Afzaal: Right, about $0.80, that will make sense. And then are you factoring in Force Multiplier in your EBITDA guidance, or are you leaving it as upside for now?
Michael Pyle: There are some in it. I would hope, there’s upside in it, but there’s some in it.
Raveel Afzaal: Okay. And then with respect to the flights, I think, you’ve gotten a few questions on that, just one more follow-up. It’s going to grow materially. I’m thinking, is it going to grow materially, because you may be able to open up another facility and other school? Is that going to drive this growth? Are you making some efforts to get more pilots with this? If you could just speak a little bit more about what other, two three main growth drivers for this business?
Michael Pyle: You seem to know a little more about this business than I’m comfortable with. Yes, over time, we intend to – we made no decision at this point, Raveel, about the methodology of the growth, whether we run more through our two places we have now. Do we build another one in the Maritimes? Do we build one at West? But one of the key thing is, we need to expand our number of flight trainers. That’s the rate determining step, and we’re working on plans to grow the number of trainers. There’s a number of trainers as the rate determining step getting a little trainer planes or getting quarters of people to stay in and those kinds and that’s relatively easy. And so we’re busy on that.
Tamara Schock: Yes, thanks, Mike. Anytime you go into the flight training business, as Mike mentioned, the biggest factor is you can train. Moncton Flight College today has a very good complement instructors with over 90 instructors. They have to grow their own methodology, which they’ve used historically to make a lot of their own instructors or highly successful of that. What we do with that now that we’re partnered up, we have the expertise of our airlines and our Flight College to come up with strategic plans of how to approach that, I think, it’s opened in a just a great world of opportunity to strategize on that.
Raveel Afzaal: Very good. And just my final question, to the extent possible, can you speak about how much you paid cost add to the cost structure for Quest? And I’m just trying to figure out, when you guys open up this new location potentially closer to the supply sources? What sort of an impact would we potentially see on the margins? If you can just speak about the cost structure how much is rate when you look at the overall cost of manufacturing?
Michael Pyle: The cost of freight is a grand scheme of the window business, it’s not a big number. It’s small single-digit percentages. And while moving, I would think, I think I want to put the emphasizes on a difference solable. [ph] While building this closer to the market does unequivocally reduce transport costs. The other benefits are much, much bigger in terms of the benefit. The first is, when you’re out of capacity, you can’t sell any more and we’re running that business essentially flat out. This will enable us to move things that are currently in a pipeline that we can promise a customer. And Marty and Jody the principal and his son at Quest are dogmatic that we’re not going to take work we can’t deliver on time with the quality that our customers expect. So let’s kind of put a brake on our ability to grow till we get this up and running. So building in down South more importantly will let us take advantage of our sales opportunities way out. And secondarily, and it may turn out to be not an issue. But no one knows what’s happening with NAFTA. I think, the people negotiating knowing what happens with NAFTA and it depends on where the President wakes up on a given day. But we want to be ready no matter what the outcome is, and because we have a significant sales level in the United States by building our plant there. We inoculate ourselves from trade worse. If worse comes to worse, we’ll build Canadian stuff in Canada and American stuff in the U.S. I should caution that we don’t think it’s a big impact on this business, simply because all of the glass and all of the aluminum comes from the U.S. to begin with. So it’s not like there’s a massive import as part of this from Canada. But we want to be ahead of the curve. If the rules don’t change, so be it, we’ll sell both ways across the boarder. They may build the plant in our –something in our U.S. plant for Canada. But we will build something in Canada for the U.S. But to the extent that the border does get more difficult, this will eliminate the problem for us.
Raveel Afzaal: Thank you. Very clear. Thank you for taking my questions.
Michael Pyle: Thanks, Raveel.
Operator: Our next question comes from the line of Tim James from TD Securities. Your line is open.
Tim James: Thanks very much. Good morning. The revenue softness at Provincial, you mentioned that’s related to the end of a contract in a couple of delays, I think, in some work. Can you talk about what you expect for that business than as you look at 2018 relative to 2017, or the fourth quarter 2017 and specifically some of these factors that impacted the fourth quarter?
Michael Pyle: Yes. No, it’s very difficult for me to predict the completion of projects on a quarter-by-quarter basis in Provincial. It’s important to look at Provincial’s business. we kind to got to break it into three pieces. We’ve got all our airline business, so where we’re flying airplanes, our partnership with Air Borealis with Innu and Inuit, we’ve got our flight-based operations as part of that. And then on the other side we’ve got our aerospace and you need to break down into two pieces. Within the aerospace business we’ve got the flying we do. So, where we’re doing surveillance for Canada [indiscernible] and those kinds of things. That’s remarkably consistent that isn’t what’s driving this decline. It’s when we do projects where we’re adopting an aircraft, where we complete a project and there may be a gap before we start another one for somebody else. I would anticipate that the slowdown we talked that we experienced was clearly of the project part where we finished some projects and new ones weren’t – were delayed or not started. We would expect that the current year would be similar to what we experienced in 2017 in terms of that. In terms of the flying part there was no decline nor do we expect one. And as we look forward a little bit more as we get closer to deploying fixed sing starts, we’ll start to see that show up whether it be later this year or early next year in our results.
Tim James: Okay great, thank you. And then just looking at the lease portfolio in Regional One I see some commentary there regarding. I think was the longest lease term. But I’m wondering Tammy if it’s possible to provide kind of an approximate weighted average lease term for the portfolio?
Michael Pyle: We don’t have that here, but we can probably get that for you for the next conference call.
Tamara Schock: Yes.
Michael Pyle: That’s not something I’ve in front I don’t want to guess, but having said that I will it’s probably in the – it’s less than five years I would say the average is somewhere in that 3…
Tamara Schock: Yes.
Michael Pyle: 3-ish range but you have to take that with the considerable grain of salt, because I just pulled that out of my pocket.
Tamara Schock: But when you – I think that when you look at our financial statement disclosure I think we’re disclosing approximately two years as an average lease term. But the – there’s some shorter contracts in there. So, we’ll be leasing these planes out for longer than that. What we disclosed in the financial statements is strictly contracted leases.
Tim James: Right, okay.
Tamara Schock: We will have those 900s on lease for longer than that.
Tim James: Okay. And then just finally if I can return to the working capital question that came up earlier. Just want to make sure I understand this Mike you mentioned in the fourth quarter specifically that half of the increase in working capital was due to the tax change. If I take a step back and look at the year in total the $64 million I believe it was of usage for working capital. How much of that, or should any of that reverse in 2018?
Michael Pyle: Well there was a live – a couple of longer term receivables stuff we dealt with and a little bit of tax, but I think what the company’s grown if you look at the revenue line. And that explains the growth of working capital. I don’t think you’re going to see material changes in working capital other than seasonal variations. Clearly busy quarters like Q3 will use working capital other quarters like Q1 will probably return working capital just by the nature of revenue levels. But there isn’t an ongoing there shouldn’t be an ongoing burn of working capital.
Tamara Schock: When like when you look at the year-over-year change let’s say it’s approximately $50 million you take $25 million of Qwest off that. Our provincial and manufacturing and legacy airline businesses go up and down give or take by a very small amount. So, they are not driving that increase, but we do have an increase in the receivable levels at Regional One that is caused by the fact that they have a very large lease portfolio that tends to have a month or two of lease payments outstanding at any given time. So that growth has driven an increase there. And then inventory at Regional One is higher, because of the timing of some of their purchases and part out rate in the last part of the year. So, I don’t see any reason to see increases like that persist in the future.
Michael Pyle: And that’s where you go, just when we talked about on a go forward basis, if we choose to part out to $7 million planes all at once. You could see a bump in that then you could see a following period where we don’t part out any. And you could see a decline. But when you smooth out the lumpiness of what quarter-to-quarter. There should be no systematic requirement for increases in working capital.
Tim James: Okay that’s very helpful. Thank you.
Michael Pyle: I just want to clarify whether that I talked about when we’d see returns on two things for provincial. We will see in the second-half of this year our…
Tamara Schock: Force.
Michael Pyle: Force multiplier go into service and we clearly anticipate revenue from that project. And then in addition to that by moving into next year you’ll start to see smaller parts of revenue from the fixed wing SARS program where we’re supporting Airbus and the Canadian government on the Northern search and rescue planes. And, while that will be nowhere near the ramped up level we’ll start to see that creep into our results in 2019.
Operator: Okay. And your next question comes from the line of Steve Hansen with Raymond James. Your line is now open.
Steven Hansen: Yes, Mike just quick follow-up you’ve been very active on the M&A front here of late should – can you say the comment quickly on the M&A pipeline. How you see it and relative to maybe the past 6 to 8 months and what we should expect on that front?
Michael Pyle: I would describe that – as a football metaphor we’ve driven we scored a couple touchdowns. In the last six, eight weeks with the two deals we’ve completed. We got lots of stuff we’re looking at, but we’re backing our own end on those deals. There’s a lot of work to do, and so I wouldn’t want to raise expectations that this is the new norm that we do a deal every quarterly report. We’re likely into this – like the latter part of this year before – we are at a state Stephen potentially have done anything else. We’ve got a little bit to swallow here. The pipeline itself is still good. There’s still lots of stuff to look at. But we’ve done a lot in the last based on our internal capacity a lot since sort of the fall of last year between the diligence of the two deals and then closing them and then the diligence on building a new plant for Qwest. So, I would think we will take a pause not that we’re not looking. But that we’re a bit winded.
Steven Hansen: No, that seems prudent. And maybe just a question and I ask every couple of years on a related matter. How do you feel about the corporate structure at this point? Do you have the bandwidth or the horse power you needed the head office to continue to manage all these disparate operations whether it’s systems, people, or otherwise?
Michael Pyle: Sometimes you’re good at things and sometimes you’re lucky. I feel truly blessed with the people we’ve been able to add to our Head Office team in the last couple of years. And one of the things we do a bit different Steve is that we don’t wait till we have a specific position to fill. We’re a growth company and we know we need good people. And so just in the last. Just over 12 months we’ve added Dave White who you hear from regularly on these calls throughout our aviation group. You hear Garth Waddell a strong CA who’s helped us with the Qwest deal. Robert Hutchinson another finance executive we’ve added. So, we’re pretty happy with what we have today. We continue to look and our culture is to hire the best. So, if someone else walks in the door tomorrow we’ll find them a desk. But in terms of our ability to execute our business model, I don’t think our teams ever been better.
Steven Hansen: Okay great, good year. Thanks.
Michael Pyle: Thanks, Steve.
Operator: Your next question comes from the line of Konark Gupta with Macquarie. Your line is now open.
Konark Gupta: Thanks, sorry I got disconnected, so apologies if these questions have been asked. Mike on the lease – it’s a Regional One. Just quickly there are a bit of Embraer 190s coming up in the used market very shortly. Any sense you would have any interest in that kind of aircraft and any other opportunities?
Michael Pyle: Yes, we’ve dipped our toes in the Embraer market as of late in two ways. We’ve bought some stuff for our own account and we’ve also managed for a bank, the return of a material fleet. And then redeployed it on their behalf. And so that was a win-win. We made a little bit by doing it. But more importantly, we’ve got the knowledge out of doing that. And so, I think you will see an increasing proportion of what we do in the Embraer platform. I’m not suggesting it’s going to jump up and match to the CRJ platform in the near-term. But we have largely avoided the ERJ market in the past that I don’t think that’s what you’ll see going forward.
Konark Gupta: Great. And lastly, on Quest, Mike. So the $2.9 million EBITDA in just half a quarter seems like pretty good. Is there a reason why not to analyze that number?
Michael Pyle: Well, yes, I mean, it was – we did – we finished a couple of jobs that were quite good. I would say that it’s – it was better than we anticipated. But we gave guidance of what we paid off of. And we sort of lean towards people what we thought we would do the next year material growth rate. What I would suggest is the results in that step period supports the growth rate we talked about. I think, if you extrapolate it directly and try and say, hey, that’s half a quarter. So if I take 24 times as that number, you’re – we won’t quite – we’ll probably be six weeks not that. But still we wouldn’t meet a pure extrapolation to that.
Konark Gupta: Okay. Thank you.
Operator: And your next question comes from the line of David Tyerman with Cormark Securities. Your line is now open.
David Tyerman: Yes. Hi, just two last questions. So, Mike, I did want to clarify your comment on the Moncton. So if you got to the $55 million or they got to the $55 million earn-out, with the multiple on EBITDA still be – would it be less than 4.75 times, what that would be?
Michael Pyle: Materially less.
David Tyerman: Materially less, okay. That sounds very good. And then the other question I hope to make it. Second question [Multiple Speakers]. Second question is on the CapEx. The last couple of quarters you’ve been running $35 million, $40 million all-in maintenance plus growth. Is that kind of a good number going forward you think in 2018, maybe a bit higher in Q1, we should tend to do more on the maintenance side? Is that what we should be thinking?
Michael Pyle: I would expect the maintenance number this year will be higher than last year’s maintenance in Q1 just because of the timing of engine events.
David Tyerman: Right.
Michael Pyle: In terms of the aggregate growth…
Tamara Schock: Like one comment when you look at the aggregate is the – is the latter half of 2017 does include some higher growth CapEx because of the set up of the Kitikmeot project, the completion of Provincial Force Multiplier and a couple of things to support our Northwest Ontario operation. So we wouldn’t necessarily think that those types of things would not repeat.
Michael Pyle: The only material maintenance capped our growth CapEx than we have – that we anticipated at this point is the plan for Quest and the final few million bucks to finish off Force Multiplier, and there may be a plane here or there in addition to that. But we expect growth CapEx to be materially less than it’s been experienced in the preceding year.
David Tyerman: Okay.
Michael Pyle: I put the asterisk besides that David, though if we get another deal…
David Tyerman: Sure.
Michael Pyle: …that looks like that CRJ 700 deal, I got to run grab it and grab the checkbook. But based on what we see now, we expect that to decline.
David Tyerman: Yes, now that makes sense. Okay, that’s perfect. Thank you.
Michael Pyle: Thanks.
Operator: And we have no further questions in the queue. At this time, I’ll turn the call back over to the presenters.
Michael Pyle: I’d like to thank, everyone, for participating in today’s call. I’d also like to reiterate our thanks for the royal shareholdings we’ve had through what was a tumultuous year. The irony of what was – it was our best operating year on record. And the outside noise created some challenges for all of us. We’ve delivered the best antidote for that, which is strong results. And we look forward to speaking to everyone again, soon when our first quarter comes out and updating you on our results then. Thanks and have an awesome day.
Operator: And this concludes today’s conference call. You may now disconnect.